Operator: Welcome to the Insight Enterprises' First Quarter 2015 Operating Results Conference Call. [Operator Instructions]. I would now like to introduce your host for today’s conference call, Ms. Glynis Bryan, Chief Financial Officer. You may begin, ma'am.
Glynis Bryan: Thank you. Welcome everyone and thank you for joining the Insight Enterprises' conference call. Today, we will be discussing the company’s operating results for the quarter ended March 31, 2015. I am Glynis Bryan, Chief Financial Officer of Insight and joining me is Ken Lamneck, President and Chief Executive Officer. If you do not have a copy of the earnings release that was posted this afternoon and filed with the Securities and Exchange Commission on Form 8-K, you will find it on our website at insight.com under our Investor Relations section. Today’s call including the question-and-answer period is being webcast live and can be accessed via the Investor Relations page of our website at insight.com. An archived copy of the conference call will be available approximately two hours after completion of the call and will remain on our website for a limited time. This conference call and the associated webcast contain time-sensitive information that is accurate only as of today, May 06, 2015. This call is the property of Insight Enterprises. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Insight Enterprises is strictly prohibited. In today’s conference call, we will refer to non-GAAP financial measures as we discuss our first quarter 2015 financial results. You will find a reconciliation of these non-GAAP measures to our actual GAAP results, included in the press release issued earlier today and posted on our website on the Investor Relations page. Finally, let me remind you about forward-looking statements that will be made on today’s call. All forward-looking statements that are made in this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in today’s press release and in greater detail in our Annual Report on Form 10-K for the year ended December 31, 2013. With that, I will now turn the call over to Ken to give you an overview of our first quarter 2015 operating results. Ken?
Ken Lamneck: Thanks, Glynis. Hello everyone. Thank you for joining us today to discuss our first quarter 2015 operating results. In the first quarter of 2015 our team continued to drive solid top line growth across the business. As expected demand for client devices decreased year-over-year globally, but we more than offset this with an increased focus on selling datacenter solutions, software and a differentiated services offerings. We also invested in our sales force adding over 60 team mates in the quarter and at the same time returned cash to our shareholders through our share repurchase program all of which are important to our long term strategy in the short run led to earnings per share results in-line with our expectations for the quarter. Consolidated net sales were generally flat year-over-year in U.S. dollars at $1.22 billion. The strength of the U.S. dollar compared to other major currencies in recent months has notably affected this quarter's U.S. dollar reported results, when compared to the same period last year. Excluding the effects of currency changes in the quarter net sales grew 6% driven by good sales execution in each of our geographic operating segments. Gross profit was a $162 million in the first quarter down 1% in the U.S. dollars and up 4% in constant currency. Gross margin declined 20 basis points year-to-year to 13.3%, this decrease is driven primarily by lower product margin due to business and client mix transacted in the quarter primarily in North America and EMEA. Consolidated selling and administrative expenses decreased 1% U.S. dollars and a constant currency increased 4% year-over-year reflecting investments in sales, technical and services headcount in North America EMEA businesses. Earnings from operations excluding severance and the restructuring expenses decreased 1% to $21 million. On a GAAP basis earnings from operations decreased 3% to 20.3 million and diluted earnings per share excluding severance and restructuring expenses increased $0.01 year-over-year to $0.29 on a GAAP basis diluted earnings per share were down $0.01 to $0.27. Within these results our team in North America continued to drive strong sales execution in key markets which drove 5% top line growth overall with solid growth across each of our hardware, software and services categories. In the hardware category, double digit growth and data center sales from early network and services [ph] categories more than offset softening demand for client devices. In the software category we continue to see strength in sales of business productivity and security solutions which led to 5% year-over-year growth in this category. And the momentum in our services category continued with 28% year-over-year sales growth in the quarter driven by increased consulting and technical service engagements. In EMEA net sales increased 6% year-over-year in constant currency in the first quarter, hardware sales growth of 7% in constant currency was driven by strong demand for server and storage solutions and modest growth in client devices. In the software category sales growth in constant currency was driven by higher spending by public sector and service provided by the clients in the quarter primarily for business productivity solutions. And in the service category, our strategy to expand this business across EMEA is having a positive effect. We now offer cloud and software related services in all countries in the EMEA footprint and in the first quarter we saw a high double digit increase in services sales in this segment. In Asia-Pacific first quarter net sales increased 3% year-over-year on a constant currency, we’re pleased with the new business growth we’re seeing in New Zealand a market that we have been focused on penetrating in last two quarters but continue to see softness in the Australia market. As we enter the second quarter of 2015 we continue to believe that the IT industry is healthy. With the exploration of Windows Server 2003 maintenance support in July this year combined with a substantial completion of the recent Desktop refresh cycle [indiscernible] CEOs will now focus on data center and other infrastructure projects in 2015. We have saw this in our business in Q1 and give our strong technical engineering skills and deep services capabilities, we believe we’re well-positioned to participate in the shift in demand for the balance of the year. I will now hand the call over Glynis, who will discuss the first quarter financial results in more detail. Glynis?
Glynis Bryan: Thank you, Ken. Starting with North America, net sales in North America were $823 million in the first quarter up 5% year-to-year. Sales in our hardware category increased 3%, software sales increased 5% and services sales increased 28% year-over-year. By client group we saw higher spending by enterprise and public sector clients particularly federal and state local agencies and state local agencies and lower spending in the market or SMB client segment growth. Gross profit in North America increased 4% year-over-year to a $112 million and gross margin decreased 20 basis points to 13.6%. This gross margin decrease was driven in part by lower profit margins on hardware sales due to business mix transacted in the quarter and the decrease in fees earned in enterprise agreements compared to last year. Selling and administrative expense for North America in the first quarter were up 4% or $3.2 million year-over-year to $92.4 million. The effective headcount investments year-over-year were currently offset by significantly lower healthcare expenses which were down $2 million in this year's first quarter. We also recorded $400,000 in severance and restructuring expense in this segment in the first quarter compared to approximately $80,000 in the same period last year. Earnings from operations in North America were $19.1 million in the first quarter of 2015 up 5% from $18.2 million in the same quarter last year excluding severance expenses in both period. Moving onto EMEA, our EMEA operating segment reported net sales of $355 million down 9% year-over-year on U.S. dollars but up 6% in constant currency, also in constant currency hardware sales increased 7%, software sales increased 3% and services grew 58%. By client group we saw higher spending in the public sector which is seasonally strong for us in EMEA in this first quarter and we delivered strong growth in the service provider or hosting market but we have deep expertise in the software licensing category. Gross profit in EMEA was $45 million, a decrease of 9% year-over-year in U.S. dollars but an increase of 5% in constant currency terms, with gross margin decreasing 10 basis points to 12.6%. The decrease in gross margin was driven by lower product margin in the software category partially offset by a higher mix of gross margins from services sales in the quarter. Selling and administrative expenses in EMEA in the first quarter were down $0.90 to $43 million but up 5% in constant currency. This increase year-over-year was primarily driven by planned investments in sales resources in the last two quarters of 2014. In the first quarter we recorded net severance expense of $318,000 in this segment up from $260,000 recorded in the same period last year. Excluding severance expenses, earnings per operations in EMEA were $2.1 million in the first quarter of 2015 compared to 2.2 million reported last year. In our Asia Pacific operating segment they reported net sales of $42 million down 8% year-to-year in U.S. dollars and up 3% in constant currency. Gross profit was $5.5 million which was down $22 million year-over-year in U.S. dollars and down 13% in constant currency, this is related in part to the economic slowdown in Australia and the timing of transactions between our quarters. Selling and administrative expenses in APAC increased 3% year-over-year in constant currency due to investments in headcount which led to a decline in earnings from operations year-over-year. On our tax rate, our effective tax rate in the first quarter was 38.4% compared to 39.3% for the first quarter of 2014 due to lower taxes on earnings in our foreign jurisdiction. Moving on to our cash flow performance, our operations generated $21 million of cash in the first quarter of 2015, compared to $66 million in the same period last year due to increased working capital utilization on improved sales trends this year. We invested $3 million in capital expenditures in the first quarter of 2015 up from $2 million last year and we also spent $39 million to repurchase approximately 1.5 million shares of our common stock. As of March 31, we had $53 million remaining under this authorization. All of this led to a cash balance of a $186 million at the end of the first quarter of which $161 million was resident [ph] in our foreign subsidiaries and we had $95 million of debt outstanding under our debt facility. This compares to a $181 million of cash and $89 million of debt outstanding at the end of last year's first quarter. And from a cash flow efficiency perspective our cash conversion cycle was 25 days in the first quarter of 2015, an increase of one day year-over-year due to higher inventory balances to support specific client engagements. I will now turn the call back over to Ken.
Ken Lamneck: Thank you, Glynis. Moving on to our outlook for 2015 for the full year 2015 we continue to expect our business deliver top line growth in low single digits in U.S. dollar terms and that diluted earnings per share for the full year 2015 will be between $2.10 and $2.20. This outlook reflects an average U.S. dollar to euro currency exchange rate of a $1.05 and an average U.S. dollar to British pound currency exchange rate of a $1.45. The adverse effect on gross profit was previously announced part of the program changes in the software category, whereas the company expects to be between $5 million and $10 million and the effective tax rate of 37% to 39% the completion of the remaining share repurchase program was about $53 leading to an average outstanding share count of approximately 38.6 million shares for year-end. Capital expenditures up 10 million to 50 million. This outlook excludes severance and restructuring expenses incurred during the year. Thank you again for joining us today. I wanted to thank our team mates and clients and partners for the dedication to Insight. That concludes my comments, I will now open the line up for your questions.
Operator: [Operator Instructions]. Our first question comes from Nikhil Kumar with Stifel.
Nikhil Kumar: If you can talk about like what you see in terms of demand puts and takes and your guidance is based on Euro-Dollar exchange rate of 1.05 and given Euro is 1.13. So if euro remains [indiscernible] I think we would see some upside there right?
Glynis Bryan: I didn’t hear the very first part of your question. Ken, will take the first one and I will take the foreign exchange piece, Nick. Thank you. I guess it is possible that we would see some improvement potentially in our results related to the euro. Euro today is at 1.12ish, to be honest I checked that on Friday, I'm not sure what it is today. For the quarter we ended the quarter at 1.08 and the average for the quarter was around 1.12 - 1.13 for the quarter. So I would say that we have built our forecast based 1.05 depending on what happens in the U.S. economy, depending on what happens with the UK elections, depending on what happens to Greece, it's possible that ultimately the Euro could remain higher consistently than the 1.05 but we don’t know. So we will be happy to have the upside that creates if it ends up for the year being above 1.05.
Nikhil Kumar: And if you can like give color on what you see from end demand and different verticals and different geographies and--
Ken Lamneck: On the demand side, I think as we mentioned I think we all of course experience that the PC refresh cycle which was such a big driver last year has certainly more normalized. Q1 was certainly down overall for desktops and notebooks. We see that starting to recover to more normal levels, overall so I think that piece is fine. We see data center actually growing nicely as far as server storage networking those elements and I think as indicated the software category grew nicely, so I think demand is about what we expected and I think remains healthy.
Nikhil Kumar: And then one final question, I think you mentioned in the quarter you added 60 people to your team and how should we think about going forward, you’re going to maintain that rate of hiring or it's going to slowdown probably in the second half?
Ken Lamneck: Yes the 60 people was a global number and we do expect to not continue hire at that exact rate but somewhat similar to that for the rest of the year, so less than run-rate for the whole year but we will certainly be continuing to add more.
Operator: Our next question comes from Robert [indiscernible] with Raymond James.
Unidentified Analyst: Couple of quick questions for your, first of all regarding Asia Pacific, can you just elaborate a little bit more on the margins. I know you mentioned that there is SG&A investment and headcount during the quarter but can you give any additional color? Thanks.
Glynis Bryan: So in APAC we have seen some softness in APAC over the last couple of quarters, I guess we would say they were not performing to expectations over the last couple of quarters. Part of that is related just the general economic environment in Australia primarily. When you look at our APAC business about 75% of our business is actually in Australia and they are actually significantly impact from an economic perspective with regard to the lower growth rate in China and specifically the impact in the mining sector on the banking sector associated with that lower growth in China. So part of what you’re seeing in the margin is the impact of the changes that we have previously talked about as well as just the general economic slowdown that they are experiencing primarily in Australia. The other countries are doing okay, they are meeting our expectations, they are showing some growth, no deterioration in margin, however they are small.
Unidentified Analyst: Okay, and if you could talk a little bit about European demand, recently you pull forward related to the strong dollar?
Ken Lamneck: Not that we can associate that directly with. We have seen, demand can actually be consistent for the past few quarters for us in the European business. We did of course see accelerated growth in services and I think that was driven by a lot of the programs we have had in place but we’re starting to gain some traction. But overall I wouldn’t -- we certainly wouldn’t characterize it as the shift in the value of the dollar that’s driving that growth.
Unidentified Analyst: Could you elaborate a little more cost cutting actions particularly since you came in below on SG&A during the quarter and particularly any details you can give on North America?
Glynis Bryan: I guess I would say two things, if you look at it in total we were below on SG&A but primarily because of the impact of the exchange rate on Europe and on our APAC operations. If you look at North America, North America SG&A grew on a year-over-year basis $3.2 million and that had the benefit of a $2 million lower healthcare cost associated with that. So we’re seeing SG&A growth in North America primarily as a result of the very specific investments that we’re making in terms of sales, technical and engineering and pre-sales resources in North America. In Europe on a constant currency basis they actually saw 6% growth in their SG&A as well and that’s related to the investments that we made in the second half of last year in Europe associated with driving a differentiated strategy around services to kind of diversify away from the reliance that we had on licensing specifically and we’re seeing some benefit from that come through with the 50% growth that we saw in Europe in our services category. And in Australia they are also making some investments in their technical and services infrastructure as one of the avenues that we’re exploring in terms of driving cloud and other service like approaches or operations or business in APAC to once again get away from just on the reliance I'm sure licensing--
Operator: [Operator Instructions]. Our next question is a follow-up question from Robert Han [ph] with Raymond James.
Unidentified Analyst: Regarding server demand, how much impact are you expecting and could you just talk a little bit about when you might expect to see that and any spill over potentially in other categories?
Ken Lamneck: Yes, Robert, of course we did see good server growth this past quarter. It's interesting try to track that the Window Server 2003 end of service which comes into effect at the end of June, we really track that. Our senses are actually -- there are a lot of clients that really aren't addressing that issue yet, so I think it's going to be, I think it's going to have life certainly beyond June. I think it's going to certainly into the second half of the year and I think it's going to take us one security glitch to occur and I think it will get a lot of attention. But it's of course it's hard for us to get exact numbers on this, but we know what certainly our run-rate is and we know what our clients are. So I think it's not occurring maybe as fast as we all thought it would and I think we will see certainly the second half. Does that drag other things? Yes of course it will certain, a change to the operating system changes dramatically from that environment. So we would expect to see changes certainly at the server level and of course that would certainly probably change certainly in the storage environment as well. So we do think it does impact the data center completely.
Operator: And I'm not showing any further questions at this time. And this does conclude today's presentation. You may all disconnect and have a wonderful day.